Operator: Welcome to Onex's Fourth Quarter and Full Year 2021 Conference Call and Webcast. During the presentation, all participants will be in listen-only mode. Afterwards, we will conduct a question-and-answer session with prequalified analysts. [Operator Instructions]. As a reminder, this conference is being recorded. I will now turn the conference over to Jill Homenuk, Managing Director, Shareholder Relations and Communications at Onex. Please go ahead.
Jill Homenuk : Thank you. Good morning, everyone, and thanks for joining us. We're broadcasting this call on our website. Hosting the call today are Gerry Schwartz, our Founder and CEO; Bobby Le Blanc, Onex's President and Head of Onex Partners; and Chris Govan, our Chief Financial Officer. Earlier this morning, we issued our fourth quarter and full year 2021 press release, MD&A and consolidated financial statements, which are available on the Shareholders section of our website and have also been filed on SEDAR. Our supplemental information package is also available on our website. As a reminder, all references to dollar amounts on this call are in U.S., unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. With that, I'll now turn the call over to Gerry.
Gerry Schwartz: Thanks, Jill. Good morning, everybody, and thanks for joining us today. Next month marks 35 years, hard to believe, since our IPO on the Toronto Stock Exchange. And when I look back on it, what a time it was. At that point in time, there was -- nobody knew what private equity -- there was not even a phrase private equity, and nobody knew what the letters LBO stood for. So most of the roadshow is spent just explaining to people what an LBO was and what kinds of things we do. It was really interesting because the underwriters had originally thought they would raise $75 million of pure common stock for us. And in the end, they closed on $246 million, which I think was the largest equity offering at that point in time. Anyhow, that's 35 years ago. And in our prospectus, that document for that offering, we described ourselves as an entrepreneurial investment company with a well-defined acquisition philosophy, seeking value creation opportunities and always keeping a strong focus on alignment and relationships. And I'm really proud of the company we've built and our ability to stay true to our core values. Today, quite differently, we offer multiple investing strategies to a global base of investors, including institutional and high net worth clients. So I look back on this particular past year 2021, and I see it was a good year for Onex. We invested wisely. We continued to strengthen our team, and we grew our fee-generating assets. This momentum helped deliver solid financial performance. Bobby and Chris will provide more detail shortly about that financial performance, but I'd like to touch on some of the highlights of the year. Our investing capital per share, sometimes referred to as net asset value per share, increased by 24%, which is the highest annual increase in our history. In private equity, it was an active year for both realizations at around $3.25 billion and deployments at around $3 billion. Our portfolio companies grew organically and through our value creation levers. At Onex Credit, we continued to strengthen that platform. Last year, we integrated Onex Falcon, which we've owned for a little over a year now and happily so, and also merged our Credit and Gluskin Sheff investment teams. We now offer investors a pretty full spectrum of private credit, public credit and public equity investing opportunities. Within our wealth management platform, strong client interest for our private strategies persist. At year-end, our wealth management clients had more than $1.3 billion allocated to these private strategies. Earlier this year, we announced our new Head of Gluskin Sheff, I'm very happy to tell you, Dave Kelly, who came to us from the -- a long career at the Toronto-Dominion Bank, who brings valuable operational expertise to this business. Looking ahead, we're excited by the opportunities to grow and expand. We've laid out our strategic plan at Investor Day, and we think we're well positioned to achieve our long-term goals. We have a strong foundation and a terrific bench of talent at Onex. Our One Onex culture is driving collaboration across our organization as we leverage our expertise and relationships. As always, we remain focused on continuing to generate good returns for all our stakeholders. And with that, I'll now turn it over to Bobby for more on the quarter. Bobby?
Bobby Le Blanc : Thank you, Gerry, and good morning, everyone. Earlier today, we reported segmented net earnings per share for Q4 of $3.65 and net earnings per share of $2.45. Segmented net earnings per share for the year were $18.42 and net earnings per share were $15.76. We made good progress in 2021 and feel confident as we look ahead to the remainder of 2022. We've expanded our capabilities and reach and now have a clear plan for growth. Our focus this year across all platforms will be on growing our fee-generating assets under management. In total, we expect them to grow by more than 15% by the end of 2022. Our private equity portfolio performed well in Q4, reflecting the benefit of strong diversification. Onex's return from private equity investments was 5% in the quarter and 32% for the year. At Onex Partners, we're just beginning to fund raise for OP VI, and we're looking forward to a first close in late Q2 or early Q3. Despite a relatively crowded fundraising environment, our goal is to increase the amount of fee-generating AUM relative to the amount we raised for Onex Partners V. We also recently announced 2 new investments in OP V, RES and Analytic Partners. We still have capacity to invest and our current pipeline and expectations line up well with the timing for OP VI. ONCAP's primary objective is to finish the job of fully investing ONCAP IV. Last week, we announced our latest partnership with Merrithew, a global leader in mindful movement. The fund is now 77% invested and we expect to be fundraising for ONCAP V later this year. Onex Credit is seeing good momentum across these strategies. Last quarter, I told you that we were close to our short-term fundraising goal of $500 million for our Onex structured credit strategy. We now expect to exceed that goal for the final close late in Q1. There will be additional opportunities to add AUM throughout the year via separately managed account for this strategy. For our Onyx Capital Solutions strategy, considering recent team changes, we have established more modest expectations for the size of the first fund. We're seeing continued interest from investors, especially given recent market volatility, which is a positive for this product. Early returns are ahead of target, and the pipeline continues to be robust. At Onex Falcon, we've raised over $240 million of fee-generating AUM last year for our direct lending strategy through Gluskin Sheff and are now marketing this strategy to institutional investors. Our Onex Falcon mezzanine lending strategy has begun fundraising for the seventh vintage with an overall fund target of $1.5 billion and is anticipating its first close in Q2. The Onex Falcon team has been a great addition to Onex Credit and LP interest in their strategies remain strong. In Q4, we closed CLO-22 and CLO-23 and completed the reset and upsize of CLO-10, adding a combined $1.1 billion in fee-generating AUM. Last month, we also priced EURO 5, our first new European CLO since 2020, raising EUR 400 million. It was a successful return to market for our European team that we've invested in and repositioned over the last year. Market volatility has weighed on CLO formation in Q1, and issuance could remain lower in the face of the geopolitical tension. However, rising rates should continue to be a tailwind as investors rotate into floating rate assets. If the credit markets are relatively constructive for the remainder of the year, we would still expect to achieve our $2 billion annual CLO net issuance target. Turning now to Gluskin Sheff. We were pleased to welcome Dave Kelly to the team last month. Dave's experience building strong operational functions comes at the right time in Gluskin's evolution. From day 1, Dave has been focused on leveraging One Onex to drive further growth. This includes continuing to broaden access for Gluskin clients to Onex private strategies, including those that we're fundraising for this year. Operationally, Dave will be focused on digital capabilities and increasing automation, allowing the business to better scale as it grows. It's early days, but under Dave's leadership, I expect to see a sharpening of our client value proposition, including more opportunities to leverage the Onex brand and product offerings. Finally, 2 updates on ESG. In December, we published our responsible investment policy to our website. Last month, we committed to the ESG data conversion project, an initiative backed by more than 100 global GPs and LPs. The group's aim is to standardize ESG metrics and create comparative reporting for the private market. Recognizing the benefit of increased standardization for all stakeholders, including shareholders, you can expect to see more of these partnerships from us in the future. Reiterating what I said at the start of my remarks, we're confident in our strategy and plan to execute, and we continue to see great value in Onex as an investment. This will be an important year for us in demonstrating our ability to grow fee-generating AUM, leading to increase fee-related earnings as outlined at our Investor Day. As you heard earlier, we have several strategies that we'll be fundraising this year. We also continue to explore other opportunities to add to our fee-generating AUM capabilities. We look forward to providing updates on our progress throughout the year. I'll now turn things over to Chris.
Chris Govan : Thanks, Bobby, and good morning, everyone. We had a good quarter, adding $3.65 of segment earnings per share to cap off a very strong 2021, in which Onex generated $18.42 of segment earnings per share. This performance translated into the record 24% growth in investing capital per share Gerry noted. These results were driven by the performance of our private equity investments. Our PE portfolio was up 5% in the quarter and 32% for the year, outpacing a very strong year for the public markets. Onex PE returns continued to be broad-based in the quarter with solid returns across our private company portfolio and continued post-IPO appreciation for RSG. The decrease in PowerSchool's trading price muted overall Q4 results. However, we haven't sold a share of PowerSchool and expect to enjoy strong returns as Hardeep and his team continue to execute on their strategy and grow the business. You can see the broad-based value creation from our portfolio when you look at the returns by vertical. Strong growth across financial services, industrials and consumer and retail more than offset very small net losses in services and health care in Q4. On a full year basis, we saw double-digit returns across all verticals and remain well diversified going into 2022. Our PE portfolio made up of 38 separate investments, the largest of which accounts for less than 6% of Onex's investing capital. Credit investing also contributed to segment earnings. Onex's credit investments returned 3% in Q4, capping off a very strong year in which they delivered a 20% return. Credit returns in the quarter and year were driven by CLO investments that returned 28% over the course of 2021. Although we are happy with the returns from our CLO investments, as you know, we're working to reduce the capital intensity of our CLO platform. I shared this chart last quarter. And as you can see, we continue to make progress increasing our CLO platform's return on capital. Recent progress includes sales of $40 million of CLO equity in Q4 and the pricing of euro CLO 5, with Onex holding only 5% of the equity tranche. The CLO platform is a great early example of progress toward our goal of improving the ratio of fee-generating AUM to Onex Capital across our platforms, an important step in expanding Onex's capacity to generate fee-related earnings. While our CLO platform is quickly pivoting, progress in private equity where funds have 10-plus year lives and successor funds get raised every 4-or-so years, will happen over the long term and in step functions. Stepping back and looking at the investment segment as a whole, Onex generated segment earnings per share of $2.90 in Q4 and $14.22 in the year, driving investing capital per share to $90.75 or based on the year-end exchange rate just over CAD 115 per share. And we entered 2022 well positioned to deliver growth going forward with about 84% of Onex's investing capital at work after adjusting for recently announced investments. And that's after a year in which Onex received almost $0.5 billion of net distributions from the PE portfolio. With $1.3 billion of realizations, meaningfully outpacing a very active year in which $840 million of Onex Corporation capital was invested in new PE opportunities. Before opening it up to Q&A, I'll spend a few minutes on our growing asset management segment. As you can see from the table, Onex generated $67 million of asset management segment earnings in the quarter and $384 million for the year. Carried interest has been the primary driver of the year-over-year increases in asset management segment earnings. You might remember from last year's Q4 call, I spoke about carry as a meaningful potential contributor as OP IV began to accrue carry and moved through the catch-up phase of the waterfall. That thesis played out in 2021 with OP IV in full carry at year-end. Turning to Onex Credit. Its contribution in Q4 also benefited from carry with about $18 million being accrued. Although our focus at Onex Credit continues to be growing fee-generating AUM and restoring management fee margins, the platform's $14 billion of carry-paying capital is a meaningful asset that should not be overlooked. Before I wrap up, I'll pivot to fee-related earnings and distributable earnings, the new KPIs we introduced at Investor Day. As I've explained a couple of times over the last handful of months, Onex's 2021 FRE loss stems from the high proportion of nonfee paying Onex Corporation capital managing the PE platform, and significant OpEx investments we've made at Onex Credit to support the launch of new fee generating strategies. Looking forward, we expect growth in FRE to come gradually and consistently from Onex Credit as it grows its top line and restores profit margins. With improvements in private equities contribution coming in step functions connected to fundraising cycles and then possibly new product launches. Growth in fee-generating AUM will be a leading indicator over the next 12 to 18 months as it relates to our progress in building Onex's capacity to generate FRE. Finally, this slide details Onex's distributable earnings, which includes both carry and investment gains on a realized or cash basis. Onex's strong distributable earnings, $135 million in the quarter and over $700 million for the year, provide a solid foundation and support for our growth plans. Next quarter, we'll transition to FRE and distributable earnings as the primary measures of the asset management segment, allowing shareholders to track progress against the 2026 targets we provided at Investor Day and more easily compare Onex to industry peers. With a very successful 2021 behind us, we turn to the very important year already underway. With fundraising efforts ramping up for both PE platforms, and the continued execution of our growth strategies at Onex Credit, Onex's capacity to generate FRE is poised to expand materially in 2022. With that, we'll be happy to take questions.
Operator: [Operator Instructions]. Our first question comes from the line of Scott Chan with Canaccord Genuity.
Scott Chan : Chris, just actually going back to your last comment on Slide 26, kind of getting back to distributable earnings. The realized gain on investment line that gets added back from FRE, is that mainly private equity monetization through the year? Like is there any credit involved in that number? I'm just getting some clarification on that, yes.
Chris Govan : Yes. So there likely is some credit in that number, Scott, I don't think it would be all that material this year. We did have gains as we sold down our CLO portfolio. But the bigger driver -- the biggest driver is private equity. And it's a good opportunity just to remind people that in distributable earnings, those gains are realized gains, cash gains. And so in the case, for example, of the sale of the JELD-WEN stock in 2021, the gain that goes into that line is proceeds versus original cost. So if you think about it, that doesn't tie directly to our mark-to-market income that would have seen that gain come into income over many years. It's a different measure that's common in the industry, that's a cash basis calculation.
Scott Chan : And the same thing on accrued interest, right? It's realized in the quarter? So...
Chris Govan : Yes. That's correct. For this purpose as well, carried interest is realized, it's actually cash received, which again is just a little bit out of sync with how we report it for financial statement purposes. But it's another interesting way to look at it, I think.
Scott Chan : Okay. Just wanted to clarify that. And then I get asked a lot, and you kind of touched about -- touched on it in terms of higher rates benefiting floating rate products. But in general, we think of Onex and all its businesses and the prospect of accelerated higher rates on both sides of the floor. Currently, globally, can you maybe talk at a high level where you may see headwinds and maybe opportunities over time? Some of us might think of private equity would be like impacting refinancing or DCF valuations, but just kind of curious to see your thoughts as the rate environment has really shifted intra-quarter?
Bobby Le Blanc : Yes. This is Bobby. Like so clearly, higher interest rates and a higher cost of capital has a negative impact on the private equity business almost by definition. Now it does depend on how the businesses do and how higher rates might lead to different growth rates for the underlying businesses. But a higher cost of borrowers typically on the margin, a negative for the PE business. On the credit side, given how much of our current credit business and that mix is floating rate, it's not as obvious that it will be a net negative. We do have some exposure to high yield and other things, but those products tend to be pretty short duration. But the CLO business and structured credit, which are floating rate, we expect that to maybe be a net positive over time. So it will vary -- it varies a bit depending on the product.
Scott Chan : And maybe just lastly, just on the cash, you talked about the pro forma cash being 16% versus 20% at year-end based on recent investments. I'm just curious to see maybe your visibility over the next few quarters in terms of cash deployment? And maybe more interestingly, just in terms of the NCIB, just where your share price is? And what the discount is right now?
Bobby Le Blanc : Yes. So again, I don't think we should look out more than a couple of quarters, but just looking at -- on the PE side of things, the pipeline versus potential sale processes, I think we're probably net sellers over the next couple of quarters just based upon current activity. So I would expect the cash balance and the credit markets to cooperate to be going up based upon those things -- based on those factors over the next few quarters.
Operator: Our next question comes from Nik Priebe with CIBC Capital Markets.
Nikolaus Priebe : I just wanted to start with a question on one of your portfolio companies. I was wondering if you could give us an update on the performance of ASM Global? That's one I would think with a bit of a longer recovery tail. I'm just wondering how that business has been managing from an earnings, liquidity and balance sheet point of view.
Bobby Le Blanc : Yes. So obviously, ASM was 1 of our 4 portfolio companies at OP that sort of had a direct hit vis-à-vis COVID. But when we look at where the business now, to start with, is we're seeing, for 2022, we're budgeting to be above the 2019 earnings level. So the activity around stadiums and arenas and other things like that has really, really picked up over the last little while. So the business is really beginning to operate what I would call normally. We never had high leverage going into that business. We were only levered 2x. So there was never any hint of a liquidity problem with that business, and that remains true today. So pretty good. Like where that business is now, we feel good about it.
Nikolaus Priebe : Okay. That's interesting. And then one of the goals that you pointed out over the past couple of years, one of your ambitions has been to deemphasize participation in competitive bidding processes from a deal sourcing perspective. I mean you've announced a handful of new transactions here over the past 6 months or so, can you give us a sense of how many of those maybe would have been privately negotiated versus a formal auction process? And -- or maybe how the pipeline looks from that perspective as well?
Bobby Le Blanc : Yes. Like when I think about overall for OP V, we've had the majority of the acquisitions in that fund either be proprietary or there's only 2 people really looking at the process. And in most cases, we were the preferred partner of management. So I actually think our change of go-to-market and how thematic we've been and how much deep knowledge we have about those businesses that we're pursuing is really resonating with the management teams, particularly founder-owned businesses. We've had a really good success over the last couple of years, buying founder-owned businesses and then appreciating the value and the expertise we bring vis-à-vis how deeply thematic we're being. So I actually think we've made really good progress on that front in the last couple of years.
Operator: Our next question comes from Geoff Kwan with RBC Capital Markets.
Geoffrey Kwan : I apologize I missed the beginning part of the call, so I apologize if it's already been addressed. But with everything kind of going on in Russia and Ukraine, is there any direct exposures that you would have within your portfolio?
Bobby Le Blanc: Nothing that I would say would be meaningful, Geoff. Carestream and WireCo and Venanpri have revenues -- pretty meaningful revenues in Russia and the Ukraine. But overall, for all the revenues of all of our portfolio companies, the number is sort of in the $30 million range.
Geoffrey Kwan : Okay. And then -- okay. I know you -- your limits in terms of what you can talk about from the fundraising perspective. But just wondering if you've had any early discussions with LPs given you've got an active fundraising year ahead? And if you're able to talk about the nature of those conversations and how they might have gone?
Bobby Le Blanc : No. We're really like -- for OP, like we're literally just beginning, like we haven't really been out formally yet with very many LPs. But look, Geoff, it's a crowded fundraising market. Like a lot of people -- a lot of GPs are coming back to market quickly and they're coming back to market, seeking larger funds. Given that private equity, in particular, putting the credit side of the business aside for a second, performed so well. A couple of -- several many institutions have their private equity allocations, they're sort of full. So I think this fundraising for OP and likely for ONCAP will be longer than fundraising has been for prior funds. At the OP level, we're typically in and out of market in sort of 5 to 6 months. I would see that this fundraise is taking a bit longer than that.
Chris Govan : Yes. And maybe just picking up on that point, Bobby. Geoff, just, I think Bobby referenced in his remarks, an expectation of growing fee-generating AUM more than 15% this year. I think it's relevant to note that in our plans, more than half of the OP VI capital gets raised in 2023, so that 2022 growth number has probably less than half of OP VI in it.
Geoffrey Kwan : Okay. And then just my last question. Somewhat similar, but just more conceptual thing is you've had strong performance in your PE funds. You've got greater focus on your core verticals, and we've seen the recent kind of stronger pace of new deal announcements. Are you comfortable doing maybe bigger deals than you've done in the past? And would that potentially result in maybe thinking about bigger fundraises than you've done relative to prior vintages?
Bobby Le Blanc : So I think we've always done larger deals, Geoff, relative to the size of our fund. We've done several deals where the equity check has been more than $1 billion in a $7 billion fund, and we've used Co-Invest, which are LPs and Onex Corp obviously like for us to be able to deploy those types of deals. In terms of larger fund sizes, like we're always going to try to raise larger funds, but we've never sort of tried to do like a big step function change in fund size. I'd much rather raise a dollar amount where the investment teams at ONCAP and OP aren't feeling overly pressured to get the money to work if there's a period of time within the 5-year deployment period where it's a tougher time to deploy capital. So I would rather go back to market more quickly. Again, larger funds, but just not step function larger funds. I think that's just a more prudent way to go into the investment business.
Gerry Schwartz : I'd just add that I really fully support what Bobby's just saying. I think -- I don't -- personally, I don't think it's terribly wise to constantly be raising larger funds. You've really got a concentrate on the quality of what you put into the fund.
Geoffrey Kwan : Okay. And then maybe just one, just going back to, Bobby, I think it's your response about the 5 to 6 months. When you kind of say that would be something more like talking like closer to a year sort of thing or maybe slightly less than that be what you're thinking in terms of that time frame? Or would it potentially be longer than that?
Bobby Le Blanc: Yes. It's tough to pinpoint it, Geoff. But like we have had a couple of LPs know that we're going to come to market this year and say the calendar is so crowded in '22, could you please allocate us in the beginning of '23, right? So I think we'll have to see how that dynamic plays out, but I certainly see OP VI fundraising spilling into 2023, whether that's Q1 or Q2, I can't really tell you yet.
Chris Govan : Yes, I was just going to say, operationally and financially, that's totally fine with us, just to make the point. The fund typically has a cap of investing no more than 20% of its capital in any 1 investment. And so if you have large first and second closings, it still gives you plenty of capacity to put a normal sized Onex investment in the fund. And then also just to make the point that subsequent investors, in addition to coming into previous deals pro rata, also pay fees back to the initiation date of the fund. So from Onex's perspective, the time line, as Bobby said, works out really well with where we stand today with dry powder and accommodating our clients with some 2023 closes is very easy to do.
Geoffrey Kwan : Okay. No, that makes sense. But I mean, we could see possibly still maybe a first closing in 2022? Or are you talking about the first...
Bobby Le Blanc : No. For sure. Like I anticipate our first closing in Q2 or Q3 maybe for OP VI, right? And as you have that first close, you're ready to invest, right? And the people that come in after that first close participate in those deals, and there's a contractual way that happens in terms of what rate they have to pay given where those deals were bought. But as soon as you have a first close, you're in business on that fund.
Operator: [Operator Instructions]. Our last question appears to come from Graham Ryding with TD Securities.
Graham Ryding : I wasn't sure if my question got in the queue there or not. I'd like to just start with carried interest. So on Slide 29, you gave some color there, as you have in the past, just around the potential from OP V and ONCAP IV. I think it's in the range of $225 million to $685 million of carried interest potential. But then you've also previously mentioned that you've talked about this $19 per share of carry potential in your business, which equates to, I think, about $1.7 billion. So what's the bridge there between what we're seeing in those 2 specific funds that are pretty key to generating carried interest and that larger $1.7 billion? Is that largely fixed income related or what are the pieces that would bring you to a larger carry potential of $1.7 billion?
Chris Govan : Yes. It would be credit related, Graham. We have -- I think I said in the number in my comments, we have about $14 billion of fee -- of carry-paying or carry potential AUM within our credit business in addition to essentially almost all of our AUM and private equity being carry-paying. So that would be the bridge between the two. I think to make the point, credit carry is a little bit different than private equity carry. Private equity carry will be typically longer-term hold and therefore, a higher MOC, but credit carry will pay more often. And we sort of get to reload more often just because the fund likewise tend to be a bit shorter. But hopefully, we expect credit in the years to come to be a very significant contributor to our carry realizations in addition to private equity.
Graham Ryding : Understood. So that $14 billion, that's obviously beyond your CLO fee-generating AUM, there's some other strategies in there as well that are driving that?
Chris Govan : That's right. It's in addition to our CLOs. Our CLOs do bring with them a carry opportunity, but there's also all of the additional capital we have, including that -- some of which we acquired with Falcon. And essentially, all of our new strategies that we're raising funds for in the market today for credit have a carry opportunity associated with them.
Graham Ryding : Okay. Understood. Fee-related earnings, just -- I'm just trying to sort of track your outlook there. It sounds like fundraising on the private equity side, it might fall into 2023 to some extent. What is your sort of expectation for generating positive FRE? Is this more of a 2023 event as your private equity fees step up? Or can you get to positive FRE this year?
Chris Govan : Yes. I think I don't have a specific number to give you. I think what I would tell you is that progress on the FRE line is not going to be all that significant in 2022. What we'll want to be focusing on, and we'll give you the information on that, is more of a run rate type analysis, particularly because with credit AUM, you typically earn fees only on invested capital. And so there's a lag between raising the capital, getting the funds formed and actually seeing the increase to the top line. So I think 2023 will be a much bigger improvement in FRE than 2022. But I expect that at the end of 2022, when we're showing you a run rate analysis around FRE, the improvement will be more meaningful.
Operator: That concludes our question-and-answer session. I will now turn the conference back to the company.
Gerry Schwartz : Thanks, operator. Look, we really appreciate everybody joining us today, and we thank you, not only for that, but for your continued support. And we'll look forward to many more opportunities to engage with you in the months ahead. We look forward to hearing from you and being able to reach out to you. Thanks, everybody. Good afternoon.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.